Operator: Good day, and welcome to Nexstar Media Group's Third Quarter 2024 Conference Call. Today's call is being recorded. I will now turn the conference over to Joe Jaffoni, Investor Relations. Please go ahead, sir.
Joe Jaffoni: Thank you, Sashi, and good morning, everyone. I'll read the Safe Harbor language, and then we'll get right into the call. All statements and comments made by management during today's conference call, other than statements of historical fact, may be deemed forward-looking statements for purposes of the Private Securities Litigation Reform Act of 1995. Nexstar cautions that these forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those reflected by the forward-looking statements made during today's call. For additional details on these risks and uncertainties, please see Nexstar's annual report on Form 10-K for the year ended December 31st, 2023, as filed with the Securities and Exchange Commission and Nexstar's subsequent public filings with the SEC. Nexstar undertakes no obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. With that, it's now my pleasure to turn the conference over to your host, Nexstar Founder, Chairman and Chief Executive Officer, Perry Sook. Perry, please go ahead.
Perry Sook: Thank you, Joseph and good morning, everyone. We appreciate you all being with us today. With me here on the call, as always, are Mike Biard, our President and Chief Operating Officer; and Lee Ann Gliha, our Chief Financial Officer. I will start with a summary of recent highlights, followed by Mike's operations review and Lee Ann's financial review, and then we'll open the call for your questions. Nexstar delivered another quarter of financial results for the record books. We achieved the highest third quarter total net revenue in the company's history comprised of all-time high third quarter distribution and advertising revenue, including record political advertising revenue. The September quarter marked Nexstar's third consecutive reporting period of record total net revenue and fourth consecutive reporting period of record distribution revenue. Overall, our strong year-to-date performance yielded $1.4 billion of adjusted EBITDA and $792 million of adjusted free cash flow. We returned 74% of adjusted free cash flow or $590 million to shareholders in the forms of dividends and share repurchases, which reduced our shares outstanding year-to-date by 6.3%, while also reducing our debt outstanding by $146 million. Before my quarterly commentary, I wanted to spend a moment highlighting the benefits not only to the broadcast television industry, but of our place as the largest local television broadcaster in America. From the beginning, we've been clear in our view that broadcast is the bellwether of the linear television ecosystem and the foundational element of every pay TV service as well as every political campaign. And for almost three decades now, Nexstar has consistently created tremendous value for our shareholders because of the enduring value of our scaled assets and our superior business model. Our diversified media platform produces and distributes the programming that consumers want to watch, which is led by sports and news. Along with our partners, we have unparallel footprint of 200 broadcast stations comprised of top network affiliates that consistently generate the highest network ratings and total day ratings in their marketplaces. Together, we command the number one or number two position in local news in 80% of our markets. We also own the CW, America's fifth major broadcast network and News Nation, our national news network, providing news for all America and all Americans. Nexstar's assets work together to support each other and deliver premium programming for the consumer while also delivering growing value for our shareholders. We achieved this by maximizing distribution and advertising revenue, while maintaining strict cost controls to drive strong capital returns. Our record-breaking top line financial performance in the current environment including record-breaking distribution revenue, further validates the power and sustainability of our highly profitable business model. There's a reason why companies like Nexstar and Fox are not experiencing the same challenges facing many larger media companies with broad exposure to cable entertainment networks. We both on a streamlined portfolio of linear television assets, including a broadcast network, our cable news network, and a portfolio of broadcast TV stations with a programming strategy anchored by news and sports. Without the long tail of underperforming cable network assets, both of our businesses are delivering strong performances in the current environment. We anticipate the value of broadcast networks and broadcast stations will only continue to climb, bolstered by their value to sports teams and leagues. The NFL and now the NBA are requiring that broadcast networks and stations be an integral part of their distribution because of the viewership uplift, audience and community engagement and the increased value it brings to the franchises. We know this firsthand based on our negotiations for sports rights as well as many other proof points in the marketplace. Earlier this month, ESPN added six more Monday night football games to be simulcast on ABC and their affiliates in line with the prior season. We believe Disney did this because last season their ESPN simulcast on ABC helped to fuel a 29% lift in Monday Night Football ratings. Additionally, for the second time in three years, all five NBA Christmas Day games will be simulcast on ABC and their stations. Further driving home this point, the recent network shift by the INDYCAR SERIES happened because of the new deal on broadcast television gave the series the most exposure. CEO, Mark Miles said and I quote "we did not do the deal which would have afforded us the greatest rights fee. This is the deal that made economic sense, but more so was far and away the greatest reach and that you could think about as our willingness to invest by taking less for the growth of the sport through greater reach." To that end demonstrating the power of our broadcast network The CW delivered record audiences for the debut of the NASCAR Xfinity Series as well as WWE NXT. The NASCAR Xfinity Series raced from Bristol Motor Speedway on September 30, averaged 906,000 viewers which were the highest ratings for the series since July of 2024. And on October 1 WWE NXT drew 895,000 viewers to The CW an increase of over 44% from the prior week's episode on cable. And on Saturday October 5, 2024 when The CW had NASCAR Xfinity Series racing ACC football and Pac-12 football, we saw 4.7 million viewers tuned into The CW and the daypart on The CW which had never existed before our ownership. To top it all off, we are also outdelivering the competition. On October 8 WWE NXT beat its closest direct competitor AEW in total viewers by 166% and also beat CBS' Matlock and FOX's programming in the hour in the 18 to 49 demographic. Since we acquired The CW in the fourth quarter of 2022, we have transformed the profile of the network. We've increased the number of hours of total programming by over 40%. And now 46% of the programming hours that the CW will deliver in 2025 will be sports and sports-related programming including NASCAR, WWE, ACC, football and basketball and Pac-12 football and more. We are accomplishing this with lower cost for programming that will generate higher viewership than the originals the network previously aired. As proof of this in the third quarter, we reduced The CW operating losses by $36 million year-over-year and now by $119 million year-to-date, over achieving our previously stated goal of improving the operating loss position by over $100 million this year. As we said previously, the station side of our business continues to benefit from the ownership of The CW broadcast network as well. We recently announced that five additional Nexstar stations in Augusta, Monroe, Wichita Falls, Terre Haute and Utica became CW Network affiliates and we just announced the acquisition of an independent station in Cleveland Ohio which will become the market's CW affiliate in September of 2025 once the transaction closes. The additions of The CW affiliates to our stations benefit us by generating operating profit on our station side of the ledger. And to date, excluding Cleveland and the acquisition we made last year in San Diego which will also become a CW affiliate in the future. We have moved 17 CW affiliations to our station group, bringing the number of company and partner-owned CWs to 54, covering approximately 46% of our US television households, marking the biggest owned station footprint of all of the big five networks. Turning now to NewsNation and political revenue. Two nights ago our four-year-old cable network distinguished itself on America's biggest stage. In conjunction with our partners at Decision Desk HQ, we were the first news outlet to call the results of the presidential election. With DDHQ's precinct level voting data, not only were we the first to call many states and statewide races substantially ahead of the time line of the competition, but we also called each race with 100% accuracy. Our exclusive probability meter gave indications of trends and races and states even before DDHQ was prepared to make the official call. Our coverage was balanced. Our conversation was both smart and respectful and insightful and has been so since. And NewsNation is aided with resources that no other network has. First NewsNation benefits from the work of our local news organizations in 116 markets across the country, which collectively produced a record 75 debates and town halls in 2024. Second, NewsNation works in tandem with the Hill, which we own the number one news source in terms of users for Inside the Beltway coverage of D.C. This is why I believe that in conjunction with these resources and partners like Decision Desk HQ, NewsNation is the national news network of the future. Suffice it to say I'm incredibly proud of the work we continue to do and of the audience growth that we continue to demonstrate. With the election behind us we have pretty clear visibility into the 2024 political advertising revenue picture. As of Election Day we booked political advertising revenue of $491 million year-to-date a record presidential election year so far versus the $479 million we booked through Election Day in 2020. Once again local television received by far the largest amount of political spending and it remains the medium of choice for candidates and interest groups to reach local voters at scale. As we move into the period of government to be led by the Republicans in the White House and the Senate and likely the House we will continue to work to push forward industry deregulation. It's evident that the antiquated ownership caps applied to broadcasters do not reflect the reality of today's competitive media environment. We believe that there is value to be created for our shareholders through further consolidation while driving true and new benefits to the American people who want and deserve fact-based unbiased local news reported on by the over 5500 journalists that we employ. More on this from us as we progress. In summary, Nexstar's consistent strong results and free cash flow generation remains one of our most powerful differentiators from our peers and large diversified media companies, and it will enable us to achieve strong growth and shareholder results overcoming market headwinds. With all of that said now let me turn the call over to Mike Biard. Mike?
Mike Biard: Thanks, Perry and good morning, everyone. As Perry referenced, we delivered record third quarter net revenue of $1.37 billion compared to $1.13 billion in the prior year quarter. Nexstar's 20.7% increase in net revenue was primarily due to growth in distribution revenue and advertising revenue driven by political. Our all-time high third quarter distribution revenue grew 20.2% year-over-year to $719 million. That distribution revenue growth benefited from the comparison with the third quarter of 2023 that included a period when Nexstar stations were dark with one MVPD. That growth also reflects the benefit of favorable distribution contract renewals in 2023 annual rate escalators growth in vMVPD subscribers the addition of CW affiliations on certain of our stations and the return of partner stations on one MVPD in January, which together more than offset MVPD subscriber attrition. All in on an apples-to-apples basis distribution revenue grew mid-single digits and net retrans grew high single digits. Excluding the removal of partner stations from certain MVPDs our subscribers grew in the quarter in the low single-digit range reflecting the benefit of the new launches of our CW MyNetworkTV and independent stations on YouTube TV and other VMVPDs the addition of new CW affiliations at Nexstar stations and recent station acquisitions. Taking a closer look at distribution. Over the last renewal cycle we made notable progress completing distribution and network affiliation agreements on favorable terms while expanding distribution of our Nexstar-owned national services including The CW and NewsNation. As Perry described in more detail we believe this performance is testament to the value and power of our programming and scale. In July, Nexstar and our partner stations reached agreement with CBS to renew our affiliations in 42 markets. As part of that negotiation two Paramount-owned independent stations in Miami and Detroit both top 20 markets became affiliates of The CW network on September 1. And in August we renewed The CW affiliation agreements with 38 Gray Media-owned television stations. Looking out, we remain optimistic that we will see further declines in subscriber attrition. In this past quarter, Comcast reported a slowing of subscriber attrition. Charter also made some positive comments on their earnings call about the success of their new programming bundle, saying, they expect to have a pretty significant impact on acquisition and retention certainly for video and that they already see a significant uplift in the video sell-in with their new video pricing and packaging of several D2C services with their linear video product. And third-party research is also picking up on this trend. For example SNL Kagan published a report in October that projects a slowdown in the rate of pay TV attrition beginning in 2025 by about 2% to 4.6% with a further meaningful step down in 2026 to 2.8%. This is consistent with our previously stated thesis that we would see the rate of attrition normalize when pay TV subscribers, who are not loyal sports and news viewers, have exited the ecosystem. Indeed, proprietary data from our media consultant, Altman Solon shows the composition of subscribers in the pay TV ecosystem that are not interested in either sports or news is down to 4% in 2023 from 14% in 2019. With subscribers who are interested in both sports and news increasing in both the quantum and relative share with that share rising to 68% of the total Pay TV ecosystem. Additionally, we continue to see an increasing number of D2C products packaged with pay TV bundles, as the industry works towards coalescing around economic models that make more sense financially across the industry with the most recent examples being the Disney DIRECTV and Charter NBCU agreements. In addition, the power of the broadcast network model for sports programming and other content owners continues to drive maximum reach, viewership and engagement. Broadcast network programming continues to be the most watched programming in the pay TV ecosystem, yet it remains relatively undercompensated by distributors. General entertainment cable networks, especially those devalued by the migration of their programming to affiliated streaming services, are suffering from declining viewership and inevitably is being reflected in their renewals with distributors. Broadcast stations on the other hand are expected to continue to thrive as the number and cost of cable networks in the bundle becomes even more rationalized, we expect more dollars will be free by MVPDs and vMVPDs to allocate toward critical broadcast news and sports programming that continue to perform across the landscape. A September MoffettNathanson research report on cord cutting supports this thesis as they project that retrans rates will continue to grow in the mid-single-digit range in 2025, while cable affiliation fees will decline by a similar percentage. A moderation in pay TV subscriber attrition and continued growth in retransmission rates, together with our superior broadcast network programming and scale should benefit the continued growth of our distribution revenue. It is evident from Nexstar's record third quarter and year-to-date distribution revenue that our distribution partners and their customers continue to value the highest rated broadcast and the strong fact-based cable news network programming we provide. Turning to advertising. Third quarter advertising revenue increased 22.2% compared to the prior year, reflecting a year-over-year increase in political advertising, which more than offset a reduction in nonpolitical advertising. Nonpolitical advertising declined 4.5% year-over-year in the third quarter, just slightly favorable to our 4.7% decline in the second quarter. We were affected in the quarter by ongoing advertising market softness and political displacement that were more impactful than anticipated. The Olympics partially offset those factors reducing the year-over-year rate of decline for nonpolitical advertising by 3%. Looking ahead to the fourth quarter, nonpolitical advertising is pacing down on a year-over-year basis at a low double-digit percentage rate in part due to the significant amount of fourth quarter political advertising, as well as the continued impact of the challenging advertising market. Turning to political. Third quarter political advertising of $154 million increased by $135 million year-over-year and rose 16% over the comparable 2020 period, a record third quarter achievement. And as Perry mentioned, as of Election Day, Nexstar had record political advertising revenue on the books versus 2020. Touching on The CW for a moment. As Perry outlined, we are pleased with the arrival of our new programming strategy and in particular the success of CW Sports. Phase one of our strategy has been successful and we have reduced programming costs by over half from the $560 million in 2022 to the $270 million expected in 2024. This despite expanding network dayparts and programming hours. The next phase focuses on monetizing that success through advertising and distribution. In fact, more than two-third of The CW's affiliations are up for renewal in 2025, positioning us well for a strong 2026. And finally, moving to our operations. We are acting to further streamline and simplify the entire organization, which will accelerate innovation across the company and reduce operating expenses. This will enable Nexstar to focus on initiatives that more directly impact our viewers, partners and customers as we pursue priorities that represent our best long-term opportunities. In summary, our results evidenced the continued strong performance across our highest margin revenue streams with more opportunities to drive growth still ahead of us. We have experienced, accomplished teams in each of our businesses who continue to execute well against our plan, delivering strong revenues, adjusted EBITDA, adjusted free cash flow and shareholder returns. And with that, it's my pleasure to turn the call over to Lee Ann for the remainder of the financial review. Lee Ann?
Lee Ann Gliha: Thank you, Mike, and good morning, everyone. Mike gave you most of the details on the revenue side, so I'll provide a review of expenses, adjusted EBITDA and adjusted free cash flow along with a review of our capital allocation activities. Together, second quarter direct operating and SG&A expenses, excluding depreciation, amortization and corporate expenses increased by $22 million or 3%. The increase was primarily due to increased programming costs due to the variable fees related to the period of time we were dark with DIRECTV last year and the expansion of news programming. Q3 2024 total corporate expense was $53 million, including non-cash compensation expense of $19 million compared to $52 million, including non-cash compensation expense of $16 million in the third quarter of 2023. The increase of $1 million is primarily due to increase in non-cash compensation expense, offset in part by reduced legal fees. Q3 2024 depreciation and amortization was $190 million versus $220 million in the prior year quarter, a decline of $30 million. Of these amounts included in our definition of adjusted EBITDA is $70 million related to the amortization of broadcast rights for Q3 2024 compared to $98 million for Q3 2023. The reduction of amortization of broadcast rights by $28 million was primarily due to lower programming costs at the CW by $26 million as we replace more expensive programming with less expensive programming. Q3 2024 income from equity method investments, which primarily reflects our 31% ownership in TV Food Network, declined by $7 million in the quarter or 29% primarily related to lower advertising revenue. Putting it all together on, a consolidated basis, third quarter adjusted EBITDA was $510 million, representing a 37.3% margin, an increase of $231 million from third quarter 2023, adjusted EBITDA of $279 million. This improvement is due primarily to election year political revenue and the impact of our dark period with an MVPD for 76 days during last year's third quarter. Moving to free cash flow and adjusted free cash flow. We now reconcile these measures to cash from operations as opposed to net income as we previously provided. I will continue to call out a number of the key items in this reconciliation. Third quarter CapEx was $29 million compared to $36 million in the third quarter of last year, a decrease of $7 million due primarily to a reduced capital expenditure plan for the year and timing of expenditures. Third quarter net interest expense was stable at $113 million for both the third quarter of 2024 and 2023. This compares on a cash basis to $110 million in Q3 2024 versus $111 million in Q3 2023. Third quarter operating cash taxes were $10 million compared to $21 million in 2023 as we changed our method for federal tax payments to the annualization method. This method will enable us to defer about $45 million of tax from 2024 into the second quarter of 2025 and had the impact of reducing estimated tax by about $54 million in the quarter. We use this excess availability to repay Term Loan B. Next year, when we pay the tax, we can, if needed, we borrow the amount under our revolving credit facility for 100 basis points less than the cost of the debt we repaid. Our cash taxes for the fourth quarter are estimated to be about $75 million. Payments for capitalized software obligations and pension credit, net of proceeds from disposal of assets and insurance recoveries were $7 million versus $11 million last year. Cash contributions from our partners in The CW were zero in the quarter as we made no capital calls versus $11 million in Q3 2023. While the difference between CW programming amortization costs in Q3 2024 and cash payments was only $2 million that number is expected to grow to $10 million in Q4 as there will be some early spend related to 2025 programming impacting the period. And putting this all together, consolidated third quarter 2024 adjusted free cash flow was $327 million as compared to $81 million last year. Together with the cash from operations generated in the quarter and cash on hand, we returned $233 million to shareholders, comprised of $55 million in dividends and the repurchase of $178 million of stock at an average price of $167.16 per share, reducing shares outstanding net of equity vesting by 3.1%. Nexstar's outstanding debt at September 30, 2024 was $6.7 billion a reduction of $85 million for the quarter as we made quarterly amortization payments of $31 million and optionally repaid $54 million on our Term Loan B, as I mentioned with excess cash from the deferral of 2024 income tax into 2025. As a reminder, we plan to make our repurchases more consistent between odd and even years and we plan to use a portion of our fourth quarter free cash flow to optionally repay some additional debt. Our cash balance at quarter end was $181 million, including $22 million of cash related to the CW. Because we designated the CW as an unrestricted subsidiary, the losses associated with the CW are not accounted for in our calculation of leverage for purposes of our credit agreement. As such, our net first lien covenant ratio for Nexstar, excluding CW, as of the LTM period ended September 30, 2024 was 1.91 times, which is well below our first lien and only covenant of 4.25 times. Our total net leverage for Nexstar, excluding CW was 3.26 times at quarter end. As is typical in political years, we expect leverage which we calculate on an LTM basis versus a two-year average default during 2024 as adjusted EBITDA grows with election year of political advertising. As we move forward, we will continue to strategically deploy our cash in a manner that is consistent with our commitment to creating the highest shareholder value. Before I finish, I want to note that similar to all the other broadcasters in the sector, we reached agreement with the SEC regarding the earnings release presentation of our non-GAAP measures of adjusted EBITDA free cash flow and adjusted free cash flow. I would refer you to our Q3 earnings release, which describes the new definitions and reconciliations to the closest comparable GAAP financial measure. We are also providing supplemental information regarding these changes on our website Nexstar.tv. None of these changes have any impact on the calculation of our leverage pursuant to our credit agreement. The primary impact of these changes on adjusted EBITDA is that we are now only using adjusted EBITDA as a performance measure and are no longer using adjusted EBITDA as a proxy for cash flow. As a result, we are now including the pro rata share of our net income in the TV Food Network partnership and our definition of adjusted EBITDA in lieu of ordinary course cash distributions we received from them when we receive them. This has the impact of more evenly spreading out that income across the four quarters instead of concentrating it in Q1 when we received the prior year distribution and matching up current year net income with our current year adjusted EBITDA. In addition, all programming expenses will be reflected in our definition using amortization rather than actual cash payments. The primary impact of these changes on adjusted free cash flow is that we are now using adjusted free cash flow as a liquidity metric rather than a performance metric and are reflecting the cash payments related to the CW programming versus the amortization of these programming payments, which matched up with revenue generation and including all distributions from TV Food Network even though related to changes in their accounts receivable program in our definition. For more detail, as I mentioned, of all these changes, please refer to the disclosures in our earnings release and the materials on our website. With that, I'll open up the call for questions. Operator, can you go to the first question?
Operator: Thank you. We will be conducting a question-and-answer session. [Operator Instructions] The first question is from Dan Kurnos from Benchmark. Please go ahead.
Dan Kurnos: Great. Thanks. A few quick ones here. Perry, just how likely do you think regulatory changes? And how does that affect your capital allocation plans given the change in administration? And then on NewsNation, it was a good watch on linear by the way on election night. Do you think these NewsNation benefits from some of the headwinds swirling from advertisers worried about brand safety? And then lastly Mike and/or Lee Ann, just on the CW, the math suggests you're getting pretty close to profitability here. So I just love to get an update on the path going forward now? Thanks.
Perry Sook: Okay. That's a lot. Let me start with deregulation. Obviously, the number one legislative priority of Nexstar and our trade association NAB is the deregulation of ownership at both the national and the local level. When you step back and look at it, our industry's real competition comes from big tech companies who have unfettered access to every screen in America from phones, desktops to the TV in the living room, yet our ability to compete with those behemoths is stymied by regulations that were last updated in 2004. To preserve local journalism this industry needs strong companies who can compete on a level playing field for both viewers and advertisers on every screen in America, not just some of them. And the time is now to seek this reform and Nexstar is once again prepared to lead. We've established our own government relations presence in DC to work with both the regulatory agencies and the new Congress. And ultimately Dan we see this as a bipartisan issue appealing to Republicans due to its deregulatory nature and to Democrats as a consumer issue by preserving local news service in communities across the country. While we're on the subject, I'd like to take a moment to interject a little history for context. I took the company public in 2003 at roughly a 12 times EBITDA multiple due in part to the prospect of deregulation coming from the 108th Congress, which took office in January of 2004. My point being that progress on deregulation has been a catalyst for multiple expansion in the past. So we plan to move with a sense of urgency on this as well as push for the formal adoption of ATSC 3.0 as our industry's transmission standard. That is our -- and our trade association's number two priority with this new administration. As through timing and expectations, our work begins in earnest and obviously we'll keep you posted as our results begin to bear fruit. As it relates to NewsNation in last year's upfront and this past year this current year's upfront, we had conversations with literally hundreds of advertisers and there was a consensus or a sense out there that advertisers were avoiding news as a daypart national news, national cable news as a daypart, because of what they saw as a toxic environment. We, obviously, have been working hard to dispel that notion as it relates to NewsNation. We think our proof points on all of the unbiased surveys and original content surveys that are out there continue to put us right down the middle of the fairway with our content and that this is an island in an area and an environment that maybe on others is more toxic. But I will say that we have watched both broadcast and cable networks over the last few days and few weeks. And it seems as there may be a kindler, gentler consensus emerging that maybe fact-based journalism will come back into vogue as well as eliminating the level of activist journalism is out there. So maybe the news daypart will come back in favor again. We've had nice growth in both audience and in revenues supporting our products at NewsNation. So, obviously, that's coming off of a very low base. But at the same time, it is consistent growth and that's all I can ask our people to do.
Lee Ann Gliha: And then on -- as it relates to The CW you saw that obviously we've year-to-date reduced the losses there by about $119 million. I think we've previously said in the fourth quarter we're going to probably give a little bit of that back, but we'll still be hitting our target of over $100 million of improvement in the year. In 2025, we expect to continue the trend in terms of improvement. And with I think Mike mentioned this in his call, we've got a significant percentage of the distribution deals up for renewal for The CW in 2025, which should position us well for 2026. So right now it's really kind of more about got our programming in place a lot of good sports programming that's very nicely rated and it's now about driving advertising revenue and distribution revenue to get us over the top.
Dan Kurnos: Super helpful. Thank you so much.
Operator: The next question is from Benjamin Soff from Deutsche Bank. Please go ahead.
Benjamin Soff: Hey. Good morning. Thanks for taking my question. I appreciate all the color on the video ecosystem. I'm wondering, you guys have a big round of renewals coming up next year. How do you see the ecosystem during that round of renewals compared to prior cycles as far as your ability to take price or any other important factors? Thanks.
Mike Biard: Well, I think the biggest unknown obviously is the rate of attrition. We opined on that. And I think there's, data points out there to support our point of view. I think in terms of how distributors are approaching deals, I think you can look at the recent trends and obviously from DIRECTV to Charter in particular they've pursued a model of bundling D2C products with their linear video. As Perry said in his opening remarks, we sort of look at ourselves in the same boat as FOX in that regard which is that's kind of someone else's war to worry about how do they reconcile their D2C products with their linear. In terms of how do we sell our linear products, I think we'll sell them the same way we always have and in fact with increasing appeal at The CW and at NewsNation for the reasons that we articulated. So I think we'll go into the business the same way we always have. We think our content will not only continue to resonate. But as we mentioned in terms of the concentration of viewers who are more prone to watch our programming inside the bundled TV ecosystem we think we'll go from strength to strength on that going forward.
Benjamin Soff: And then on core advertising, I was hoping we could drill a little bit more into any categories or local versus national that you guys saw sort of play out during the quarter? Thanks.
Lee Ann Gliha: Yeah. I mean, look, from a category perspective we had about 54% of our categories were down which was an improvement over Q2, but that was in part aided by the impact of the Olympics. I think the -- as our large -- in terms of categories, in terms of what was down and what was up I think our largest declining category was Auto and that was I think driven in part by a couple of different things. One is just the fact that the dealers have lower inventory on their lots. And it's just interest rates are just so high with respect to what the consumer can leverage. As it relates to just kind of local versus national, in the quarter we saw sort of a similar trend that we've been seeing, historically which is our national revenue is down kind of in the teens percentage and local was kind of more stable, but that's been the continuation of the trend that we've seen overtime. We continue to do very well from a local perspective, on the digital side of things with our revenue up double-digits in terms of growth on the digital side.
Benjamin Soff: Thanks. That's helpful.
Operator: The next question is from Steven Cahall from Wells Fargo. Please go ahead.
Steven Cahall: Thank you. So your full year political number, I was just wondering if you could put that in context of some of the guidance you gave during the year. I think that was something like low-teens percentage of broadcast political spends. I think the dust is still settling in terms of what the overall cycle was and what it was for broadcast. So just curious how that number kind of fits in there. And certainly with at least one of your peers we saw some money move late in the cycle. So it does seem like we continue to get more and more dynamic, but also bigger cycles. So again, I would just love to kind of get your context within all of that. And then, you talked about the 54 CW affiliate stations you now have. How do we think about what net retrans looks like for The CW at this point? And what you're able to drive there from a cash flow perspective? Is that one of the key contributors to the improvement in losses in the quarter? And I was wondering if you have any thoughts about maybe when you might get to a breakeven on The CW. Thank you.
Lee Ann Gliha: So, on the political side of things, we have talked about a low-teens market share. Obviously the dust is still settling on what the numbers are, but we believe we were in line with what that guidance was. I think one thing just to note Steve is that, there's a lot of political numbers out there in terms of what the revenues are. They talk about the cycle. The cycle includes 2023 and 2024, so you just need to make sure when you're looking at those numbers that you kind of parse that apart in terms of the expectations for the individual years. In terms of the election money, I think, yeah, we did see like it was a little bit of a different year in terms of the money kind of moving around. And a number of the largest markets for spending were some markets that made that Nexstar wasn't even in. But I think at the end of the day, we still achieved a record year here versus the 2020 presidential election as of Election Day. And that's really just a testament to the breadth of our portfolio and the fact that when that money moves usually we're there to catch it. There are some situations where we're not there, and that does have an impact on the margin. As it relates to the CW in terms of the profitability and bringing back those affiliations in-house, the CW's profitability is only affected by the Nexstar ownership to the extent of the intercompany distribution agreement, right? Because the CW has affiliation agreements with Nexstar and with all the other affiliations. That is not sort of a material driver of these improvements in terms of the revenue that we track this, including and excluding those factors. So it really has not been a driver at all for that improved profitability. And look, we are continuing to set up to achieve the profitability time line that we talked about, and we'll have more on that in our year-end results when we set out the guidance for 2025.
Steven Cahall : Thank you.
Operator: The next question is from Jason Bazinet from Citibank. Please go ahead.
Jason Bazinet : I just want to follow-up on your regulatory comments. I get your point about sort of a broad regulatory push at the national and local level going through Congress, working with Democrats and Republicans. But my question is, is there a subset of issues that you're interested in that could just make its way through a rule-making at the FCC that could be sort of simpler and we sort of already have the Democrat/Republican backdrop, given that we know the answer to the presidential election? Or is that not the right way to think about it, we should be focused on loss getting passed or bills coming out of Congress and getting signed by the executive.
Perry Sook : Well, I think that more likely than not legislation will be needed, particularly to change the national cap because that's how the current cap was established. However, when you look at end market caps or rules or regs, those likely could be dealt with that an administrative level, either through the quadrennial review process or other processes to be determined. So I think it's a mix of both. And obviously, we will be as present in the agencies as we are on the hill to press for ownership reform that would reflect today's -- the realities of today's marketplace. And to provide that is exclusively the province of the agencies in terms of moving from experimental licenses to -- to actual licenses to the end of the simulcast requirement for that to sunset and then ultimately, to a potential flash cut mandate to date -- those are all things that could be dealt through the administrative process. So we'll be working all angles there to try and deliver meaningful progress not only for our industry, certainly our company, which will benefit our shareholders.
Jason Bazinet : That's super helpful. Thank you for clarifying.
Operator: The next question is from Craig Huber from Huber Research Partners. Please go ahead.
Craig Huber: Yes. Thank you. My first question, Perry, we haven't heard from you in a while alternative uses of spectrum here, how to potentially monetize that going down the road. I know it's a long-term proposition. Some big upside potentially for you in the industry. But what have you guys been working on lately. Is there anything new to talk about shareholders? That's the first question. Thank you.
Perry Sook : Sure. There's a lot that we're working on. And in conjunction with other companies in the space, we're just not really ready to announce anything or say anything. I continue to believe that we will have our first contracts this year, money paying beyond multicast that would be for ancillary uses of the spectrum, they will not be for significant dollars, but they will be proof points that people are willing to establish a proof of concept of whether it's navigation or offloading data transmission or digital signage or things like that. There is a lot going on, and Mike Biard is leading a lot of those efforts along with Brett Jenkins, our CTO, in the space. And Mike, I don't know if you want to add any color, but the lack of announcement is not for the want of activity because there's plenty going on behind the scenes.
Mike Biard : No, I think that's exactly right. I think we'll save our announcements for the moments of substance.
Craig Huber: Okay. Thank you very much. My second question, the CW loss is down $30 million to $36 million year-over-year in the third quarter. Is there anything that you guys would want to call out to help drive those losses lower? Is it all just cost savings? Or is there anything on the revenue side you can call out as well?
Perry Sook: Well, I'll speak first, and Lee Ann can jump in. And I just -- I do want to clarify that she said earlier, the improvements at the affiliate side of the level, our owned and operated affiliates is on the station side level and none of those improvements are being used to offset any operating losses at the network level. So the CW pays -- is a pay as you go, if you will. But as it relates to -- obviously, we have increased the amount of hours of programming of the network by 40% that is due almost exclusively to the expansion of sports. And so that's a daypart that we weren't selling before. And so there's new revenue, fresh revenue coming there. And so it is a combination of new opportunities for revenue and certainly cost cuts. And again, I want to reiterate that we increased the programming hours by 40% while reducing the programming costs substantially. So there is a lot of attention to making this network operate in the realities that people are willing to pay for live events and live sports and less and less for scripted programming. And so we're continuing to pivot the network in that direction to take advantage of both the revenue and the opportunity to save costs there. And Lee Ann, do you have any more detail you want to offer?
Lee Ann Gliha: Yes, I mean, look, I think in the third quarter, you can track -- you'll see it in the Q when it gets published later today. You can just see the improvement in terms of the amortization of broadcast rights, which we break out in the Q. So a good portion of the improvement on year-to-date has been really kind of on the programming side. In the quarter, we did have improvement on the revenue side. So it's kind of a combination of both, but more so on the cost side at the moment.
Craig Huber: And my final question, if I could. You guys talked about being down low double-digits for ad revenue in the fourth quarter, obviously hurt by political displacement as you talked about. If you could isolate just the month of December, how the bookings or the TV pacings are looking December year-over-year at the same juncture, is there any material change there in the trend which we've seen in prior months before this displacement came through? Is the underlying trend looking better in December? Or is it more of the same?
Perry Sook: Well, it is, but it's also obvious that it would because there is less demand for political revenue. And again in 2020 we had a substantial runoff in the State of Georgia, which we're not anticipating that would put pressure on our inventory for stations in those states nor would we have that additional political revenue to add to the total. So yes, the pacings are better in December than they are in November, but we expected that.
Lee Ann Gliha: Yes, absolutely. I mean, yes, it's definitely significantly better in December than it is December or October, November.
Craig Huber: Sorry, when you compare December versus a year ago, how December was looking at this juncture? How is that trend looking?
Perry Sook: Yes, that's what pacing is. So that's what we're comparing it versus the prior year period and also sequentially.
Lee Ann Gliha: Yes. But are you asking what the 2023 versus 2022 growth rate was versus the 2024 versus 2023 growth rate?
Craig Huber: I'm just trying to get a sense of what the bookings at this stage today on two days after the election, looking out into the month of December, how is that looking versus December last year at the same juncture three-plus weeks or before the month starts.
Perry Sook: Yes, we don't really give pacing down to the week-by-week, day-by-day basis here. bookings are looking better in terms of they are less down in December of 2024 than they were in October and November of 2024. And I think directionally, that's about all the level of detail we're comfortable giving at this point. We're not going to start to establish updating our pacing by the day.
Craig Huber: Okay. Thanks, guys.
Operator: The next question is from Jim Goss from Barrington Research. Please go ahead.
Jim Goss: Thanks. Following a little to the discussion we've been having here. Is it reasonable to think that the next near-term phase of growth is more likely to come from cost efficiencies more than revenue growth as retrans levels and CW and News Nation are still in relatively early stages of their development? Or are there other drivers that we should be focusing on -- on the revenue side?
Perry Sook: Look, Jim, I think at a macro level there's a lot of elements at play. There's a school of thought out here that much like the stock market you will see a relief rally in spending because the uncertainty is out of the market. And if the Fed cuts interest rates later today that could continue to add to it. Now, whether that happens or not we don't know. But I think there is a general sense that Republic administration will be better for business than a Democratic administration would have been. How that manifests itself going forward? Is there a cut in the corporate tax rates, generally that could impact people's interest willingness and capacity to spend on advertising? I do think as Lee Ann and Michael mentioned, we are looking throughout the organization to mine efficiencies and realign reporting structures and workflows to represent not only the realities of our business the realities of the economic environment. And so there will be continued elimination of what we believe to either be duplicate or non-necessary costs. That's been a part of our DNA I think since I founded the company almost 30 years ago. And obviously, with new revenue opportunities given the growth at NewsNation and the addition of sports at The CW, I think all of those elements cumulatively will go into forming our outlook and guidance for 2025 which as Lee Ann mentioned we will be delivering to you early in the year when we report our Q4 results.
Jim Goss: All right. Thanks. One other thing. I'm wondering are you -- do you have or could you update us on app-based delivery of full local affiliates and smart TVs rather than the fast versions and whether or not pursuit of that benefits your ad revenue dollars in a meaningful way?
Mike Biard: Sure. We're in the process actually of expanding those products right now. So when you talk about full affiliates being delivered via apps, I think you need to make a distinction between the big four affiliates versus our independent stations. And then inside the big 4 the network programming versus the non-network programming. Obviously, we don't have the right to take the network programming outside of The CW onto digital apps that we control. So our business there much, as it already is in the case of KTLA WGN for instance where we have some robust apps with healthy audiences there that are comprised primarily of local programming in fact almost exclusively of local programming including digital-only programming. We will continue to take that model and expand it across the company. We're in the process of doing that. I think you'll see some announcements of launches certainly this year and going into Q1 at scale.
Jim Goss: So the full live local affiliate of any of your major network affiliates is -- will require some further agreement with the networks even though you would be providing them with that distribution opportunity as well?
Mike Biard: Yeah, that would require an agreement with the big four networks. You can look at what they're doing. They don't even do that really for their own businesses right? You don't see the networks doing their full live network streaming inside individual station apps. Those are concentrated inside network apps and their D2C products. So down the road would they be interested in expanding the reach by doing things like that with us? We certainly hope so. I think it would be something to consider but that's not on our road map right now.
Jim Goss: Okay. Maybe one last one. When you were talking about the deregulation potential. I guess one of the holy grails was a duopoly of top four station -- two of top stations in large markets. Do you think that's a more realistic opportunity with the new Republican administration?
Perry Sook: Yes, Jim that opportunity exists today, but it requires a waiver from the FCC and there's no presumption on that. So there is an opportunity how realistic that is to actually access under the current administration. You haven't seen a lot of announcements of combinations of big four two of the top four rated stations in the marketplace. And it's not just big four, it's top four in terms of their viewership. So in theory that opportunity already exists in practice in Republican administration maybe it will be easier to access and act upon.
Jim Goss: All right. Thank you very much.
Operator: The next question is from Barton Crockett from Rosenblatt. Please go ahead.
Q – Barton Crockett: Okay. Thanks for taking the question. The regulatory situation is just very interesting, given the change and also a discussion from some others on earnings calls, here in your sector. And I was just wanting to kind of ask, about one of the regulations specifically, the ownership cap at 39% maybe adjusted for the UHF, which obviously Internet guys, don't face. There's an inequity there. What do you think are the prospects potentially for that being eliminated that ownership cap? And if it was given all the other antitrust concerns, do you think it would matter for you guys? Or do you think that could be maybe a big opportunity to get back into the M&A game?
Perry Sook: Yes, I think it would be a huge opportunity. And listen, you've made the case, if you'd like to join our growing GR team in DC, we've got some openings, but we see the time being now and we see it as I said in my remarks to the first question, the bipartisan issue. Republicans would see it as deregulation, good for business Democrats. And in fact, all people would see it as an avenue to preserve local journalism. Every congressmen and women, I've spoken to in the last year, does not want a future where their news is delivered by a chat bot office server hopefully, from somewhere in this country, but no one really knows. And so what do we need to do to preserve local journalism? Well, you have to have strong companies that are producing that journalism. And they have to be able to compete with an even playing field, with big tech who has unfettered access as I said to every screen in your house, my house, my car, my pocket. And currently, we're kept to 39% over the UHF discount. Maybe you can do a little better than that, but we can't reach every television home in America, with our local station footprint. And so to preserve that last mile, we think the -- there is -- the Republic has a vested interest in maintaining a free and independent press. And we see broadcast journalism remaining or becoming that last bastion of a free and independent press, at the local level. And so, there's no one that can look you in the eye with a straight face and say that the current regulations make any sense. But as the head of our GR operation Washington DC says, one of the hardest things to do because of all of the competition for time and mind share of the regulators and the legislators, is to get someone to care. And that's going to be our job is to deliver an impassioned plea and a logical case, as to why these rules should be eliminated and we hope we'll carry the day. But I mean, we're obviously investing. We have hired and are establishing a GR office in Washington. I'm spending a good deal of my time there, and on this. And we'll do everything we can in conjunction with our trade association to make the case, Inside the Beltway as to why these regulations that have not been addressed since 2004, need to be addressed in 2024, 2025 and ultimately changed.
Q – Barton Crockett: Okay. And then also on the topic of M&A. The Comcast came out with the announcement that they're going to explore spinning off their cable networks. And David Zaslav, I think was talking about different levels of M&A interest at Warner Bros. So, it seems like there could be some cable networks out there that could be something you could look at, from an M&A perspective in theory. And I was just wondering, is that an asset class that at all interest you? Could there be -- you've done some stuff kind of around that with NewsNation and CW sort of. But could cable networks at bigger scale be interesting? Or is that really just a distraction from what you do?
Perry Sook: Well, I think if you rewind the tape of this call, and review the comments we've said, that we have very little interest in establishing our -- expanding our cable network portfolio. Now as I always say, there's a price for everything. But if we had the opportunity to expand our broadcast portfolio and the cable opportunity on our desk at the same time, the obvious one we would focus on is broadcast. We believe in the broadcast model, the presence, in the ecosystem, its status in the ecosystem. And so -- and I think by the fact that we have built the largest local broadcast company in America, it's obviously, where our interest and preference would lie.
Q – Barton Crockett: Okay. And I apologize, if that's a duplicate question just juggling some other things coming in. But thank you, for the answer. I appreciate it.
Operator: This concludes the question-and-answer session. I would like to turn the floor back over to Perry Sook, Chairman and Chief Executive Officer for closing comments.
Perry Sook: Well, thank you very much, operator. I just want to finish by saying our strong financial framework combined with our significant free cash flow, generative nature of our business continues to enable Nexstar to deliver strong levels of free cash flow, while maintaining a strong balance sheet and low leverage. Looking ahead, we'll continue to execute against our long-term strategies taking the necessary actions and making the required investments to shape the future of the company, while delivering long-term growth and outsized returns to our shareholders. Thanks everyone for joining us today and we look forward to speaking with you again, in February, when we report our Q4 results.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.